Operator: Good morning, ladies and gentlemen, and welcome to Mogo Inc. Q4 2024 Financial Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, March 20, 2025. And I would now like to turn the conference over to Mr. Craig Armitage. Thank you. Please go ahead.
Craig Armitage: Thank you, and good morning, everyone. Just a few quick notes before we get started. Today’s call will contain forward-looking statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected. Company undertakes no obligation to update these statements, except as required by law. Information about the risks and uncertainties are included in Mogo’s Q4 and year-end filings as well as periodic filings with regulators in Canada and the U.S., which you’ll find on SEDAR, and you can – in EDGAR and you can access via the Investor Relations website as well. And lastly, today’s session will include several adjusted financial measures or non-IFRS measures. Please consider these as a supplement to and not a substitute for the IFRS measures. You’ll see that we’ve included reconciliations to those in the press release and in the investor deck. There was some technical difficulty getting the slides uploaded. But for anyone on the webcast, you can download the slides to follow along and they will also be up in the IR website as well. So with that, I’ll turn the call over to Dave Feller. Go ahead, Dave.
Dave Feller: Thanks, Craig. Thank you, and good morning. Welcome to our fourth quarter and full year 2024 results conference call. I’m joined today by Greg Feller, our President and CFO. I’ll cover some of the key operating highlights, and Greg will dig into the deeper financial results and outlook. In 2024, we grew revenue by 9% to $71.2 million, driven by a 16% increase in wealth revenue and a 21% increase in payments revenue. Our adjusted EBITDA for the full year was $6.7 million coming in above the middle of the range of our increased guidance. We also ended the year with $49.1 million in cash, marketable securities and investments, up from $36.2 million in Q3. In wealth, assets under management grew 22% year-over-year, reaching $428 million. Our wealth platform continues gaining momentum with revenue reaching a $12 million annual run rate. Our intelligent investing solution that includes Moka, Mogo and FinChat Pro, continues to gain traction with its unique and disruptive value proposition. In payments, revenue grew 21% in 2024 reaching $8.6 million, while total payments volume process increased 16% year-over-year to $11.5 billion, reflecting the ongoing expansion in this business. We also took steps to streamline our business, including exiting our institutional brokerage operations to focus on higher-margin areas and extending our credit facility to 2029 with lower interest rates. Looking ahead, we see significant opportunity in wealth given the structural shift happening in the market and the role that AI will play in reshaping how people invest. While it’s still early, we are focused on scaling wealth and payments in a disciplined way, positioning ourselves for long-term growth in these key areas. Given the importance about the wealth business, I want to take some time to explain a little more detail of the opportunity and help investors understand our unique approach in this space. The market opportunity in wealth is massive. Canadian households now hold $10.8 trillion in financial assets. We believe the entire industry is on the brink of a major transformation, driven by the rise of AI. Investors today have access to more data than ever before, but the traditional wealth management investing models have not kept up. Conflicted incentives, high fees, outdated strategies and a lack of transparency continue to hold investors back. The $2 trillion Canadians have in mutual funds with average fees of around 2%, highlight the opportunity as Canadians continue to be sold into overcharging and underperforming products. Most financial platforms don’t actually rethink wealth management. They just tweak the same old system. They operate within these constraints making minor adjustments instead of addressing real problem, but we’re taking a first principles approach deconstructing wealth management investing down to its core truth in rebuilding it optimized for the investor, not the firm. This is something that many don’t fully appreciate, as Charlie Munger put it, "the whole damn system is corrupt." The wealth management and self-directed investing market is designed to maximize investors’ success, is designed to maximize corporate revenue and profitability. Fees, conflicts of interest, engagement-driven platforms, they all keep investors in a cycle that benefits the firm more than the individual. We have a unique opportunity to change that by applying first principles thinking and leveraging AI. We’re not just improving the system. We’re fundamentally reshaping it. This first principle thinking applies not just the products and experience but to the business model itself, a business model that actually aligns with the success of the investors combined with the power of AI will fundamentally change the industry and empower investors in a way that’s never been before. When it comes to being a successful investor, one of the questions investors need to ask themselves is what is my edge. Every successful investor has one, Buffett, Munger, Lynch. The pros playing at the highest level don’t win because they’re lucky, they win because they have an advantage. But here’s the problem. Most platforms are built to take the edge away from the users and give it to the house. They push you into high fund – fee funds, they push you to trade, they create experiences designed to drive behaviors that are optimized for their business model and your returns. The system is designed for them to win, not you. We built intelligent investing to flip the script on his head. We’re obsessed with one thing, the actual performance of our members as investors. Our solution is designed to help investors improve their information, analytical and most importantly, behavioral edge. At Mogo, we didn’t just build another trading app, we built a system. Intelligent investing is designed around the principles of the greatest investor of all time, Warren Buffett. This system is based on a few key truths. Firstly, as Warren Buffet says, "success in investing is about temperament, not intellect." Our primary objective is giving investors the behavioral edge they need to win, which means it’s designed to also help minimize the behaviors that lead to poor performance. The second truth is another thing that Buffett and Munger have been preaching for years. As the average investor would be way better off by simply investing through a low-cost index like the S&P 500. In fact, it outperforms 98% of professionals over the long run. So no plausible narrative to try and justify high fees for funds that underperform. And the third truth is that being a successful active investor is really hard, contrary to what is generally marketed today. As Charlie Munger said, "anyone who thinks it’s easy is stupid." Empowering investors with the right knowledge and analytical capabilities is critical for any chance to be a successful stock picker. Today, our top 100 members are currently on track to over 3 billion. This isn’t about getting rich quick, it’s about disciplined, patient long-term wealth building. Real wealth isn’t built on hype, it’s built on consistency, and that’s exactly what the first part of our solution is designed for. Moka makes investing automatic, no market timing, no guesswork, just set up scheduled contributions, stay invested and let compounded do its thing. And the results speak for themselves. Last year, Moka growth portfolio delivered a 34% return. That’s the kind of performance that would have placed at third among the top hedge funds in the U.S., without the complexity, without the high fees and without the stress of active trading. Again, this is a fully managed solution that’s based on the proven performance of the S&P 500. It includes weekly dollar cost averaging, automated dividend reinvestments and importantly, the experience is designed to help investors stay disciplined and consistent through the inevitable ups and downs of the market. One of Buffett’s criticisms with the industry was that you won’t find anyone telling their customers to simply go into a low-cost index fund like the S&P because not – that’s not where the money is, even though that’s where most investors would be better off. Well, now there is. Most self-directed investing apps today aren’t for investing, they’re dopamine fueled casinos, they’re designed to maximize engagement, not returns, flashing charts, zero commission trades and social-driven FOMO keep users trading constantly because that’s how these platforms make money. But as any real investor knows more trading usually leads to worse results. Mogo, the second part of our solution is designed to take a different approach. We’re not here to push trading. We’re here to help our members build well. That means no gimmicks, no hidden fees and no casino tricks, just the right mindset, strategy and tools to invest intelligently. Trading apps profit when investors are distracted and addicted, our success is tied to helping our members actually succeed. If you understand that difference, you understand what Mogo is all about. We believe the future of investing will be won by the platforms that actually deliver the best results, not the ones with the most features or those that have done the best job of gamifying trading. Most investors are at a disadvantage. They’re making decisions with surface level data, hype driven analysis and the same generic research is widely available. Meanwhile, institutions and hedge funds have access to far more sophisticated tools giving them an edge that retail investors simply don’t have. The third part of our intelligent investing is designed to change that. FinChat Pro provides institutional-grade data, hedge fund level research and deep fundamental analysis to kind of insights that give serious investors a real advantage. Normally, to access this level of research would cost $110 a month, but we’ve included as part of the Intelligent Investing membership. For investors to care about performance over speculation, signal over noise and long-term wealth building over short-term trading, FinChat Pro is a game changer. The typical investing platform makes money in ways that don’t align with the investors’ best interest, whether its high management fees and underperforming funds, hidden spreads or business models that rely on encouraging more training. The reality is simple, most platform profit even when you don’t. We took a completely different approach. Instead of charging big management fees or relying on revenue from trading activity, we built a simple transparent subscription model, just $20 a month. While others push trading, we’ve designed our solution to minimize trading and focus on long-term patient investing. The approach has historically delivers the best results. In an industry with management fees to typically range from 0.5% to 2% and trading revenue driven by commissions and foreign exchange fees as high as 2%, it’s easy to see how the incentives aren’t aligned. Our business model is built around helping our members become better investors, not more active traders. We are witnessing one of the most profound technological shifts in the world has ever seen as the impact and wealth management investing industry will be transformational with AI. For decades, banks, wealth advisers and trading assets control the industry, built on high fees, complexity and models that serve institutions, more than investors. That was before AI. Now we’re entering after AI era, where technology is breaking down barriers, eliminating inefficiencies and fundamentally changing how wealth is built. AI-driven platforms will enable those – that have an investor-first mindset to deliver a transformational experience and value proposition that delivers better performance, lower cost and a level of transparency the traditional industry will be reluctant to match. This shift will enable new leaders to emerge, and we believe we have the approach and determination to be one of them. The future of investing isn’t just about technology, it’s about culture. The next generation doesn’t just want tools. They want something they can believe in, a brand that stands for something, a brand that inspires them to invest intelligently. Most investing platforms today feels transactional, just another app with charts and numbers, but wealth-building is more than that, it’s about a mindset, identity and a long-term vision. That’s why we’re building more than just an investing platform, we’re building a brand, a brand that challenges the status quo and brings the proven principles of the world’s greatest investors to a new generation, but in a way that is culturally relevant, a brand that speaks to a new generation of investors who want to break free from the trap and take control of their financial future. This is about making intelligent investing aspirational, making the high status, making it something people want to be a part of. With that, I’ll turn the call over to Greg. Greg?
Greg Feller: Thanks, Dave. Good morning. I have to say, I love the dopamine fueled casinos line. It’s so true and it’s why we’re so excited with our intelligent investing solution and why we believe it’s so disruptive, especially in the new world where more and more investors will be leveraging AI to make smart decisions, really nothing like it either in Canada or even in the U.S. market. So I want to first make a few comments on our payments business, Carta Worldwide. As mentioned, for the first time this quarter, we are now breaking out revenue from this business alongside of wealth as they represent our two primary areas of focus for driving long-term growth in two massive addressable markets. Payments business is also our only international segment, with the majority of Carta’s revenues coming from European customers and our wealth and our lending business are Canada only. As highlighted, Carta had another strong quarter and reflected a 14% year-over-year increase in payments volume to $3.2 billion in the quarter. During the same period, revenue actually grew at a higher rate of 27% to $2.4 million. For the full year, transaction volume was up 16% to $11.5 billion in revenue, was up 20% to $8.6 million. We’ve been investing heavily in Carta’s technology platform over the past year, which we’ve spoken about before, and we’re on track to complete the major portion of this investment by the end of this quarter, positioning the business to continue the growth trajectory and move towards profitability. Turning to our investment portfolio, which is a major value driver for our shareholders, given us substantial size, totaled $38.1 million. A large portion of this is crypto-related with the stake in Canadian Crypto Exchange WonderFi. This is also a fairly liquid asset that offers us flexibility to monetize portions of our portfolio when it makes sense for us. In fact, post year-end, we sold some of this position, 5 million of our 87 million shares, for proceeds of $1.7 million, we also monetized private investments for an additional $750,000. Revenue for the quarter was strong. We increased to $18 million, up 5%. Growth driven by 11% in subscription services revenue, which more than offset 3% decline in interest revenue. Full year revenue was up 9% to $71 million, and subscription services was up 11% year-over-year. 2024 was also a milestone year for wealth and payments in terms of scale, which is why we’re now breaking these businesses out. Wealth and payments both saw accelerated growth in the fourth quarter, up 19% in Q4 for wealth and 27% for payments during the same period. Based on the strength, we are guiding to 20% to 25% growth in Wealth for 2025 and mid to high teens growth for payment in 2025. Adjusted EBITDA for the quarter was $2.1 million or 11.5%, consistent with Q3 and a modest decline from the prior year. Full year adjusted EBITDA of $6.7 million was above the midpoint of our previously increased guidance and compared with $7.7 million in 2023. We reported positive net income of $10.4 million compared with $8.5 million in the prior period and Q4 net income reflects $13.8 million gain on marketable securities compared to $13.6 million in the same period last year. Adjusted net loss was only $400,000, an improvement from the $500,000 in Q3 and bringing us very close to breakeven. Our continued focus on cash flow in 2024 yielded substantial results, specifically, cash flow from operating activities before investment in gross loan receivable was positive for the ninth consecutive quarter, reaching $4.1 million in Q4. For the full year, cash flow from operating activities before loan receivables increased 53% to $14.5 million. Total cash flow from operating activities, net of investment in loan receivables was also positive for the third quarter – consecutive quarter at $0.5 million in Q4 compared to negative $2.2 million in the prior year period. Overall, for the full year, we reduced our total cash used in operating activities net of investment and loan receivables from $9.2 million negative in 2023 to only $1.3 million negative in 2024. We maintained a solid financial position at year-end with cash and total investments of $49 million, including combined cash and restricted cash of $11 million and $38.1 million of marketable securities and investment portfolio. As previously mentioned, we monetized over $2.4 million of our investments in the current quarter, so post year-end and we believe we will have additional monetization opportunities to fund any incremental capital requirements for our growth plan in 2025. With our year-end results, we updated our 2025 outlook. One key peaks, you will see in our press release which factors into our updated guidance relates to our decision in this current quarter Q1 2025 to exit our institutional brokerage business as part of our strategic decision to move away from low-margin revenue stream. Although this business contributed $1.6 million and $5.3 million of revenue for the three months and year ended December 31, 2024, respectively. It contributed negligible operating margin during these same periods. This revenue has historically been reported within our subscription and services revenue segment. Based on this, we are updating our 2025 guidance for subscription services revenue, which we previously expected to grow at high single-digit rate. This, on a reported basis, will now decrease by 5% to 8%. However, when you adjust for the exit of the trading business, out of 2024 numbers, we expect subscription services revenue to still grow at mid to high single-digit rate. As articulated, we are especially focused on growing our high-margin wealth and payments business going forward. Specifically, we anticipate accelerated growth in wealth, with revenue expected to increase by 20%, 25%, and our payments business projected to grow in the mid to high teens. The strategic shift allows us to focus on two high-growth areas, each within trillion-dollar total addressable markets, positioning us to build meaningful scale in the attractive markets. Turning to interest revenue from our lending business. We now expect this to decrease by 8% to 10% in 2025 driven by a more cautious approach to lending due to economic uncertainty, particularly the potential impact – uncertain impact of U.S. Canadian tariff disputes on the Canadian economy. As a result of the lower interest revenue and increased investments in technology and marketing to support growth in our key growth areas, we now expect adjusted EBITDA to be in the range of $5 million to $6 million in fiscal 2025. We also are no longer focused on generating positive adjusted net income for the year given these decisions, including the prioritization of growth. And our view is in the most recent quarter, we got pretty close to getting to positive adjusted net income. So we continue to have dials that we can turn if we need to, to increase EBITDA and to get to positive adjusted net income, but we strongly believe that the right decision now given the things that we’re seeing around wealth, in particular, is to move more towards a growth and investment posture, and we feel comfortable with our balance sheet with existing cash and monetization opportunities for us to be able to fund that. As you know, we’ve been generally a consistent buyer of our stock, the company has. Dave and I have also been consistent buyers of the stock when we haven’t been in blackout periods. And we continue to be in a position where we have never individually ever sold any shares. So we are very much putting our money where our mouth is alongside of our investors. So with that, I will turn it back to the operator to open it up for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Scott Buck from H.C. Wainwright. Please go ahead.
Scott Buck: Hi, good morning, guys. Thanks for taking my question. I guess, first, I was hoping we could get a little bit more color on the timing on the decision to leave the institutional brokerage business. Why is now the right time? Has something changed in the macro that makes that business less attractive? I mean any kind of additional color there, I think, would be helpful.
Greg Feller: Yes, Scott, it’s Greg. So look, that was a business that with the legacy business that we got when we acquired a business years ago, to get us the regulatory licenses for the Mogo trading business. So it was never a core part of our strategy. We just inherited it. And it’s a pretty volatile business. So the quarterly numbers on that can be very up and down, makes it difficult to manage, at least with our reported financials. And then we – so we continue to look at efficiencies in the business. And as we’ve been doing for the last several years, and efficiencies not only include removing unnecessary costs, but it also includes removing businesses that you don’t believe align with our core objectives because they are also a distraction. So a business that volatile quarterly revenue effectively negligible operating margin. So it’s not really impacting our EBITDA and was a distraction because it really wasn’t core to our focus. We just made the decision that now was the time as we sort of ramped up our focus on our wealth and our payments business for growth going forward.
Scott Buck: Great. That’s helpful. And second, I’m curious as you look to scale wealth and payments, could we see potential acquisitions there to accelerate that process?
Greg Feller: I mean, never say never. We’ve obviously done some in the past, but not a priority for us right now. I think we believe we’ve got a massive opportunity with what we’re doing in wealth. We believe it’s highly differentiated from anything else out there. We don’t even think there is something out there that would make sense to us. I think, look, as that business scales, there could be other pieces to bring into the ecosystem of wealth that could make sense, but nothing on the near-term horizon.
Scott Buck: Okay. Perfect. And then last one for me, decision to pull back in the lending business, are you being proactive here? Or are you already seeing some deterioration in credit quality in the loan book?
Greg Feller: We’re being proactive. I think one of the things we’ve always emphasized in our business is lending which years ago was the majority of our revenue has become a smaller and smaller piece of our revenue. So it allows us to turn those dials up and down when appropriate. When your business is exclusively lending, your incentive is to keep pushing ahead sort of no matter what. But when – for us, we’re not in that position. And so we’ve always, I think, taken a more cautious approach to lending. And right now, with the macro environment, the uncertainty around tariffs and how that could impact things, we just decided to take a conservative posture there. Look, if things change and things settle out over the next several months, we could always revisit that decision. But we felt that was the right guidance to give – given at this stage right now, it is very uncertain. And clearly, from a lending perspective, the tariff issue would be a much bigger issue, we believe, for the Canadian economy than it would be for the U.S. economy.
Scott Buck: Great. I appreciate the added color guys. Thank you very much for the time.
Greg Feller: Thanks.
Operator: Thank you. [Operator Instructions] And there are no further questions at this time. I would now hand the call back to Mr. Dave Feller for any closing remarks.
Dave Feller: Thank you. Thanks again for taking the time to join us this morning. Also wanted to end by again thanking all of our team members for their continued hard work. This is definitely a team sport. We’ve got a lot of dedicated team members who work hard every day to make this happen. We look forward to talking to you again after our Q1 results. Thanks, again.
Operator: Thank you. This concludes today’s call. Thank you for participating. You may all disconnect.